Operator: Good morning, ladies and gentleman and welcome to the Omnicom first quarter 2009 earnings release conference call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. (Operator Instructions). As a reminder, this conference call is being recorded. I'd now like to turn the conference over to today's conference call host, Executive Vice President and Chief Financial Officer of Omnicom Group, Mr. Randall Weisenburger. Please go ahead.
Randall J. Weisenburger: Thank you all for taking the time to listen to our first quarter 2009 earnings call. We hope everyone had a chance to review the earnings release. We've also posted it to our website both the press release and a presentation covering the information that we’re going to present this morning. This call is being simulcast and will be archived on our website as well. Before we start, I have been asked to remind everyone to read the forward-looking statements and other information that's included on page one of our investor presentation, and to point out that certain of the statements made today may constitute forward-looking statements and that these statements are our present expectations and actual events and results may differ materially. We’re going to begin the call with some brief remarks from John Wren. Following John's remarks, we'll review our financial performance for the quarter, and then both John and I will be happy to take questions at the end.
John D. Wren: Good morning, and thank you for joining our conference call. Given the global economic downturn, our first quarter performance was in line with our expectations. As all of you have seen, revenue for the quarter declined 14% or $448 million to $2.75 billion. The decline is attributable to the significant strengthening of the US dollar which resulted in 7.8% of this reduction and organic growth decline of 6.6% or $210 million in the quarter. The decline correlates closely to industry sectors in distress and individual countries where GDP is negative and finally the elimination of discretionary projects and events by some of our clients. Regionally, the decline was suffered most in developed countries—the US, Europe, Japan, and Korea. Our revenue performance was strong in most emerging markets—the Middle East, China, India, and Brazil. In the US, the decline was negatively affected because of our mix of business by the reduction in spending at Chrysler and three other units which are really US based—our recruitment advertising business and our specialty media businesses. Evaluating revenue by sector, the largest decline was in automotive. Other sectors had less significant decline as projects were eliminating, food and beverage, pharmaceutical, health care, travel, technology, and telecommunications. The revenue declines were partially offset by aggressive cost actions which we started in the fourth quarter of 2008. Those actions included reducing our staff to reflect our ongoing current needs, reduction in discretionary expenditures, reduction in incentive costs, and offsetting that increasing expenses for the quarter was an increase in severance-related expenditures. Despite the cuts, management continues to invest in training and development of our staff, and our agencies are well positioned to deliver exceptional creative products to our clients as we go forward. As Randy said, we’ll answer any specific questions you may have after his remarks, but looking forward, our views haven’t changed much since our last conference call. As the pace of the economic decline finds a bottom, we do believe companies will focus on revenue growth and start investing or reinvesting in their brands. We’re also hopeful that the massive stimulus spending by most governments should start to have a positive impact in the fourth quarter of this year and the first half of next year. Our new business wins have been strong in this period. We’ve been able to win more whenever we have to the opportunity to pitch, and those gains should start to reflect in our numbers I think the second half of this year. Our cost actions have also been timely, and they really should provide us with some flexibility as conditions improve. With that, I think I’ll turn it over to Randy, and then we’ll come back and answer questions.
Randall J. Weisenburger: It’s certainly been an interesting couple of quarters. The breadth and depth of the economic recession has obviously been challenging for everyone. Fortunately, the vast majority of our agencies have risen to the challenge, making the difficult decisions necessary to position their agencies for the future, while continuing to deliver exceptional service and creativity to their clients. However, due to the combination of the overall economic environment and the significant change that occurred in FX rates at the end of last year, revenue decline in the quarter $448.8 million to $2.75 billion. That was a decrease of 14%, of which approximately 7.8% was due to FX rates alone. Operating income for the quarter decreased 19.5% to $282.4 million. We were able to largely offset the decrease in revenue with aggressive cost actions that began in Q4 and continued through Q1. These actions while properly positioning the company for the future added substantial costs in both quarters. The result was an operating income or EBIT margin of 10.3%, down about 70 basis points and an EBITDA margin of 12.3%, which was down about 50 basis points from last year and equating to about $12.5 million. Adjusting for the cost of severance actions taken in the quarter, which totalled almost $38 million versus $19 million last year on a constant currency basis, our EBIT margin was 11.7% which was about flat with the same number last year, and our EBITDA margin ex-severance was about 13% which was up about 20 basis points year over year. Net interest expense for the quarter was $21.4 million. That was up about $10.4 million from last year and down about $2.5 million from the fourth quarter. The increase versus Q1 2008 was primarily the result of the supplemental interest payment made on our 2032 notes in July of last year and a reduction in interest income earned on our cash balances held in foreign markets caused primarily by a reduction in interest rates and then the negative FX effect on those earnings. The decrease versus Q4 was primarily due to a decrease in the interest expense paid on our short-term borrowings. That resulted from decreases in the 30-day LIBOR late and the stabilization of the commercial paper market as well as the diligent cash management efforts of our agencies. On the tax front, our reported tax rate for the quarter was about 34%. That was up slightly from 33.9% in Q1 of last year, and net income for the quarter declined 21.2% to $164.5 million. That left diluted earnings per share in the quarter down 17.2% to $0.53 per share. The comparative diluted EPS figure for Q1 2008 was $0.64 per share. There was a change effective in Q1 in the way we compute EPS reflecting our adoption as of January 1st of a new accounting pronouncement EITF 0361. As a result, our 2008 Q1 EPS was reduced by $0.01. Under the new calculation, we need to allocate a portion of our earnings to un-vested restricted stock, which reduces the amount of earnings available to common shareholders. The effect in Q1 of this year was also about $0.01 per share. To make it easier going forward to analyze our results, we have included in the slide presentation and our investor presentation that recalculated diluted EPS for each of the quarters last year. The summary of that change had an effect of about $0.01 in each of the quarters of 2008 and about a $0.03 change for the full year. Analysing our revenue performance, continuing the trend from the fourth quarter, the U.S. dollar strengthened significantly versus virtually every other currency causing a significant negative effect in our FX rates. In the quarter, $252.3 million or about 7.8% of the revenue decline was the result of FX. While rates have generally stabilized, assuming rates remain at their current levels, FX will have a negative impact of about 8.5% in Q2, about 7.5% in Q3, and about 1% in Q4. For the full year, the year over year dollar impact of the FX changes would be about $800 million. Growth from acquisitions net of dispositions added about $14 million to our revenue in the quarter, or about four-tenths of 1%. While the pricing expectations on potential acquisitions have improved significantly from the middle of last year, our recent focus has been more on making sure our existing agencies are well positioned and performing well, knowing that most opportunities will continue to be there in 3 to 6 months. On the organic front, organic growth declined by $210.6 million or 6.6%. As for our mix of business, traditional media advertising accounted for 44.2% of revenue and marketing services 55.8%. As for their respective growth rates, traditional media declined 12.8% in the quarter, had an organic decline of 4.3% or about $60 million, and marketing services declined 15% in total, with an organic decline of 8.4%, or about $150 million. Within the marketing services revenue category, CRM was down 13% with organic growth of -5.6%. Other than a couple of businesses that were impacted by significant client-specific cut-backs, overall the sector is performing fairly well. Public Relations was down 17.4% for the quarter with negative organic growth of 10.5%, and while agencies have performed well at winning new business, projects from existing clients have slowed across our agencies and across markets. Specialty communications which is our toughest sector was down 20.1% in the quarter with negative organic growth of about 16.2%. This category consists primarily of specialty media, recruitment advertising, and our healthcare businesses. Specialty media which is primarily our directory or Yellow Pages business is a sector that’s been in decline due to technological changes. Recruitment advertising which is our most economically sensitive business was down almost 40% in the quarter, and the healthcare sector was down pretty much in line with the overall market. Our geographic mix of business in the quarter was 55.8% U.S. and 44.2% international. In the United States, revenue declined $128.9 million or 7.8%. Acquisitions added $11.2 million, and organic growth was a negative 8.4% or $140 million. International revenue decreased by $320 million or about 21%. FX was the biggest driver reducing revenue by $252 million or about 16.4%. Acquisitions added $3 million, and organic growth was negative 4.6% or about $70.5 million. While overall economic conditions were very difficult, our organic growth decline in the quarter was somewhat skewed by four isolated areas. Specifically, the declines in recruitment marketing, our specialty and newspaper media business, and our Chrysler business accounted for more than 30% of our overall organic decline, and these businesses which are predominantly US focused accounted for almost 45% of our US organic decline. Internationally, we had strong performances in the emerging the markets of Asia, especially China, the Philippines, and India. We also continued to have strong performances in Latin America and the Middle East. Developed Asia, specifically Japan and Korea, were down sharply. The declines in Western Europe were generally in line with the overall market with a few exceptions. On the negative side, Finland, Italy, and Spain were each down double digits, and on the positive side, France and Germany were relatively strong. Moving to cash flow, our operating cash flow in the quarter was strong. While credit quality and working capital management are always a focus, in the current economic environment, these topics are an even higher priority. As a result of our efforts, our overall performance has stayed strong and consistent with prior years. Our primary sources of the cash, net income adjusted for basic non-cash charges, primarily stock-based compensation charges and the related tax benefits and depreciation and amortization, totalled $235 million. Since we are taking active measures to mange our cash, our primary uses of cash were down versus the prior year. Dividends totalled $46.7 million in the quarter, down from $49.1 million last year due to reduction in outstanding shares. Capital expenditures totalled about $23.3 million versus $42.2 last year, and acquisitions including earn-out payments on prior acquisitions totalled approximately $3.1 million, down from $89 million last year. As for financing activities in the quarter, as most everyone is aware, the majority of our 2031 convertible bond was put back to the company in February which we funded primarily with a combination of cash on hand and additional borrowings under our revolving credit facility. At the end of the quarter, we had about $475 million drawn under the revolver and an additional $30 million of commercial paper outstanding. Our current credit picture, as a result of our operating performance and working capital efforts, we finished the quarter in a strong capital market position. Our operating leveraging ratios, i.e., EBITDA to gross interest and total debt to EBITDA, while down a bit from last year due to the combination of higher gross interest expense and a small decline in EBITDA, remained very strong at 14.7 times and 1.5 times respectively, and well inside our only debt covenants, which I think most people know for EBITDA to gross interest expense is not less than 5 times and total debt to EBITDA of not greater 3 times. As we discussed in our year-end call, our debt structure changed during the quarter as a result of the put of our 2031 convertible notes in February which as I mentioned was primarily funded with a combination of cash and drawing down on the revolver. It’s also worth noting that S&P recently completed its credit review of Omnicom and reaffirmed our ratings and removed us from credit watch. From a liquidity perspective, we finished the quarter in an extremely strong position with cash and un-drawn committed credit facilities totalling just over $2.4 billion, and we had uncommitted facilities available totalling additional $370 millions. So all in, while a very challenging economic environment, we believe we are well positioned financially, and while difficult, we think our agencies are taking the appropriate actions to ensure their continued success. Now I’ll open up the call for questions.
Operator: (Operator Instructions). Our first question comes from the line of Jason Helfstein with Oppenheimer. Please go ahead.
Jason Helfstein – Oppenheimer: Given the timing of headcount reductions, could second quarter expenses be down even more ex-severance, and then of the expenses that are coming out assuming that there is some recovery next year, how much of those expenses have to come back?
Randall J. Weisenburger: Well, we’ll go through the second quarter as we go through it. I’m sure there are still more cost actions to be taken, that has to be done. The cost actions are taken agency by agency and based upon specific changes in staffing requirements by clients. The second quarter is also a difficult comp quarter. It’s generally one of the larger quarters in the year, so I wouldn’t get too aggressive quite this early.
Jason Helfstein – Oppenheimer: Of the expense reductions, assuming things start to grow next year, any of the expenses have to come back, and then just a revenue driven question, can you just talk about overall sentiment among your larger clients? Are you seeing more fear or hesitation now versus when you had your prior call in February?
John D. Wren : In terms of the costs that would come back, in a growing environment, there would be selective needs to increase staff as we grow for places where we’ve properly sized the business already, and then incentives obviously would come back into play as we get into 2010, more than what we’re anticipating at the moment.
Randall J. Weisenburger: Basically you use reductions of incentive compensation and discretionary spending to cover off the severance costs or the cost action costs and to help absorb some of the more fixed overhead structures or overhead costs with the decline. It certainly takes longer for those to rightsize to the current business levels. So there is some cost that will come back as revenues grow. It’s not that revenues won’t flow through 100%.
John D. Wren : Our major clients are in the conservative mode as I think we are. People are encouraged by and are hopeful that we’re in a bottoming out period right now, that the worst is over, and as soon as that’s confirmed for them, they’ll put in place other plans that they have. So it’s a little early, I think. Cautious optimism prevails with most major clients.
Operator: Your next question comes from the line of Alexia Quadrani – JPMorgan.
Alexia Quadrani - JPMorgan: A couple of questions, first if you can comment a bit, John or Randy, in terms of what you’re seeing so far in Q2 in terms of revenue trend, has it changed dramatically from what you saw in the first quarter, and then a second question really on the auto revenue, particularly the international clients, if you can comment on how that business is trending, in the sense do you think we’ve hit a bottom in terms of rate of declines you’re seeing or are we still deteriorating?
Randall J. Weisenburger: The last was probably easier. The rate of decline has stopped accelerating. I say that jokingly because that doesn’t say very much.
John D. Wren : I think who are at all optimistic or looking towards the real back end of this year and the beginning of next, I think you’ll continue to see similar caution in the second quarter that you see in this quarter in terms people spending and starting to be aggressive.
Randall J. Weisenburger: I think as you go through our revenues you can break them up into sort of three categories—commissions, projects, and fees. Commissions and projects adjusted very fast, and there seemed to have been really a step change in the fourth quarter of last year and certainly carries on through the first quarter of this year. I don’t really realistically think that those numbers can get significantly worse than their current levels. I’ll knock on wood when I say that. Fees are something that take a while to negotiate, so we’re certainly through the first half of this year, been working with clients to adjust fee structures to their spending needs and their requirements.
Alexia Quadrani - JPMorgan: Looking at this severance expense that you had in the quarter, was it concentrated in any one geography or should we assume it really just reflected the areas of weakness that you highlighted in your prepared remarks?
John D. Wren : It certainly reflected where we had weakness, and the reductions anticipated are principally in the developed countries around the world. There are a couple of markets where it’s typical to reduce staff, and that take a little bit longer, so it continues to an ongoing discussion, but in the scope of Omnicom, those markets are not that large.
Alexia Quadrani - JPMorgan: Do you have the break-up salaries and related expenses and O&G in the quarter?
Randall J. Weisenburger: We’ll get that for you, and when I get it, I’ll say it.
Operator: Your next question comes from the line of Craig Huber - Barclays Capital.
Craig Huber - Barclays Capital: As you look forward, can you help us think about in this quarter you were able to match your total cost decline of 13.6% with your total revenue decline of 14%. Is there anything of one-time nature in this quarter that allows you to do that that you don’t think you can do that in the second, third, or perhaps fourth quarter?
Randall J. Weisenburger: The second quarter is certainly a more difficult comp than the first quarter. So that probably makes the challenge that much harder, but generally I don’t think so.
John D. Wren : The actions taken were across the board, and there wasn’t anything mitigating that in the quarter.
Randall J. Weisenburger: There weren’t any one-time positive items that mitigated it.
Craig Huber - Barclays Capital: Usually you’re able to give us the dollar figure of your new business wins in terms of billing to each quarter. How did that do in the first quarter?
Randall J. Weisenburger: About $970 million.
Craig Huber - Barclays Capital: How was that in the fourth quarter or perhaps all of last year?
Randall J. Weisenburger: I don’t know. I’ll get that number for you as well.
Operator: Your next question comes from the line of Michael Nathanson - Sanford C. Bernstein & Co.
Michael Nathanson - Sanford C. Bernstein & Co.: Randy, when you say the second quarter is a more difficult comp, is it on the cost side because it looks like the revenue comp is not that different?
Randall J. Weisenburger: Both are harder. It’s a higher margin and higher revenue quarter than the first quarter or the third quarter. As I mentioned when we go through our revenue, I think there was a stop change with our commission-based that adjusts almost immediately with client spending and project business, and fees are something that are being renegotiated with some clients as we go through the first half of the year. 
Michael Nathanson - Sanford C. Bernstein & Co.: On incentive comp, you definitely have step-up for severance cost, but what was the incentive comp benefit this quarter versus the same quarter last year?
Randall J. Weisenburger: I don’t have that number off the top of my head either. I’ll get that one for you as well. Craig, to answer you question, net new business win in Q4 was $780 million.
John D. Wren : Versus $970-$975 in this quarter.
Operator: Your next question comes from the line of John Janedis – Wachovia.
John Janedis – Wachovia:  How are you thinking about the auto industry for the balance of the year? Did 1Q come in as planned, and would you expect any potential restrictions on marketing spend for companies that may file for bankruptcy or have filed or will file?
John D. Wren : Marketing spend came in where we expected in the first quarter, and I think the forecast for the balance of the year in that sector without any bankruptcies is very similar to what we experienced in the first quarter, and if anybody does file for reorganization, we don’t expect any restrictions on marketing. We would think if new company comes out of a restructured auto industry, I would imaging those companies would be looking to aggressively move the product that they have.
John Janedis – Wachovia: Anecdotally, are you seeing different spending patterns outside of the couple of companies you mentioned earlier from your top 50 or so clients relative to the next 100 or so, and when spending recovers, would you expect budgets to add some of the small or mid-sized clients to serve as leading indicators?
Randall J. Weisenburger: I wouldn’t. I’m not necessarily the expert, and I don’t know what every client is thinking, but looking at it, most clients seemed to adjust their spending pretty rationally with the economic environment and how their business has been affected. We have a couple of areas that we mentioned where we’re affected more significantly, but again they’re sort of tangential businesses or specialty businesses that you might expect to be hurt. You can certainly see it newspaper companies. Chrysler in particular is facing some difficulties, but I think certainly their spending seemed fairly rational with their business. In the overall auto sector, global auto sales are down. I think global auto marketing plans, at least as we see them, seemed fairly rational with their change in business. Some of the other sectors that John mentioned seemed like they were in ling with the overall economy.
Operator: Your next question comes from the line of Ben Swinburne – Morgan Stanley.
Ben Swinburne – Morgan Stanley: Randy, if you could give the level of headcount reductions in the fourth quarter and first quarter that you’ve taken, and what do you think the run rate savings are on those reductions? And then for either or both of you, on emerging markets where you continue to see some strength, what are your expectations for those regions going forward? are you continuing to see that strength or is it a lagging indicator that may end up coming back down to earth as it deals with the more global pullback that we’ve seen?
Randall J. Weisenburger: The expected savings of severance in Q4 was around $215 million, and the expected savings of severance actions taken in Q1 is about $125 million. As far as headcount, that’s not a number that we’ve given out.
Ben Swinburne – Morgan Stanley: Those are annualized numbers?
Randall J. Weisenburger: Yes.
Ben Swinburne – Morgan Stanley: You mentioned in your prepared remarks that some of your markets continue to be strong. I think you said it is mainly flat in America, with growth in some of the developing Asian markets. I am just wondering as you look out through the rest of this year, what your expectation is for those regions just given the sort of the global malaise we’re seeing, if you expect those spending levels to decline or decelerate, I should say, or if you think that growth is all secular and just continues to move forward?
Randall J. Weisenburger: This is a personal view. I think it’s reasonable to expect that their growth rates may slow. I don’t they’ll go negative, but I don’t pretend to be an economist to know those markets well enough to say.
Operator: Your next question comes from the line of Dan Salmon – BMO Capital Markets.
Dan Salmon – BMO Capital Markets:  On your cash flow statement, changes to operating capital came down to about an outflow of $474 million from about $810 million last year. If you could give us some comments on maybe some of the things you’re doing there in a challenging environment to keep that number in check, and then second you filed a shelf a month or so ago. If you could maybe give us a little bit of color on what your plans are there.
Randall J. Weisenburger: The shelf is easy. We just replaced one that was expiring, and it’s most effective to do it right as you’re filing your K. That way all your filings and fees, etc., are up to date, so there’s nothing to read into that. As far as our working capital efforts, as I said, working capital and cash management is always a focus of our agencies down deep in the organization. We intensified those efforts even to another level. Obviously everyone knows that cash is extremely important and cash management and focus credit quality of our clients and vendors is extremely critical. The year over year changes, I’ll say when they’re good or when they’re bad, the numbers can bounce around a bit on any given day. You have $200-$300 million of swing on a day that you shouldn’t take credit or not take credit for, so I don’t really think the performance in the first quarter this year versus the first quarter of last year was dramatically different. I think our performance was very good and obviously better than it was last year, but again I don’t think that difference is meaningful.
Operator: Your next question comes from the line of Peter Stabler – Credit Suisse.
Peter Stabler – Credit Suisse :  We’ve been hearing anecdotally that clients are pressing hard for reduced fees beyond those associated with reductions in scope. Could you comment on the nature of your ongoing fee negotiations with your existing clients, and on the new business win side, just from a judgment side, how much new business activity do you think has been motivated by companies who are speaking just to reduce run rate fees?
John D. Wren : We haven’t experienced any client actions other than to respond to a reduction in the scope of work that we’re providing. There have been a lot of conversations, but in each case where we’ve gone in, we’ve had to sit with clients and adjust our staff. The expectation of service has been adjusted accordingly. Your second question?
Peter Stabler – Credit Suisse : On the new business side, do you have a sense that some large clients are initiating fee reviews perhaps in this climate more due to a goal of cost cutting than in normalized terms?
John D. Wren : No. Most major advertisers are still following whatever procedures they’ve established for the selection of their partners, and we haven’t seen any pitches that have been purely put up from a fee point of view simply to reduce fees. It’s too vital an area for clients and major advertisers to make decisions based upon purely fees. It’s the quality of the service that you’re seeing.
Peter Stabler – Credit Suisse : On the Q4 call, you said a minus 50 to 100 basis points on EBIT margins for the year would be a “pretty strong performance.” Has your outlook changed on that?
Randall J. Weisenburger: I still think that’s a pretty strong performance.
Operator: Your next question comes from the line of Meggan Friedman – William Blair and Company.
Meggan Friedman – William Blair and Company:  On Chrysler, could you maybe talk at all about your potential liability there?
John D. Wren : Our team in Detroit has been working literally around the clock, unbelievable effort. They’ve probably run a hundred scenarios, and I don’t know which scenario is going to be the ultimate scenario. I think we’re very well positioned overall. If the scenario is Chrysler goes into a reorganization and they or their brands continue in business, they have a truly world-class team in our team in Detroit, extremely experienced in the automotive industry, probably nobody in the US more experienced than they are. I think our exposure is extremely limited, maybe really to the point of zero. If it were to take an extreme scenario the other way, which I think is remote, maybe even impossible, which would be the brands went away and we had a complete shutdown of the office, I think our cash exposure is probably to $25 to $35 million. There may be some additional charges or write-off furniture and fixtures and some things like that, but I think that is an extremely unlikely set of events.
Meggan Friedman – William Blair and Company: In terms of the phasing of organic revenue performance over the course of the quarter, did things get even incrementally better in March or was it pretty steady throughout the quarter?
Randall J. Weisenburger: I think it was pretty steady throughout the quarter.
John D. Wren : Certain business, I mean, for instance public relations was better in March than it was in January and February, but they’re relatively small in the scope of our overall reporting, so while it’s hopeful and it was a good trend, it’s a good month; it isn’t yet a trend, so it would be difficult to say that March was better than the prior months.
Randall J. Weisenburger: You’ve three different types of revenue—commission revenue, project revenue, and fee revenue. The PR business is really more of a project revenue business. It’s on retainer with projects. That’s stepped. I think our fee revenue is probably not stepping up; it’s still working through the changes, and the projects and commissions adjust much more rapidly up or down. Someone asked a question with respect to year over year incentive compensation. Total incentives in the quarter on a constant currency basis were down about $20-$25 million.
Operator: Your last question comes from the line of Thomas Singlehurst with Citi.
Thomas Singlehurst – Citi:  On the international revenues, it looks like the revenue trend sequentially deteriorated quite a lot. I think you’re actually still seeing organic growth in 4Q ’08, and all of a sudden they declined in 1Q ’09. Can you just go through the components of that, because presumably those problem areas are the specialty or Chrysler or obviously largely US revenue sources?
Randall J. Weisenburger: As I mentioned, there’s really a few different pieces to our revenues. While commissions and projects can adjust fairly quickly, fees will take probably take probably a full 6 months to adjust. I think that’s basically what’s been kind of rolling through the revenue line. As far as the international markets go, I think things pretty much continued. The trends that we saw at the end of the fourth quarter, I think in the first quarter we just probably saw more the full effect of it.
Thomas Singlehurst – Citi: Is there any massive difference in possibility between your US and international operations, i.e., the decline from currency in the international revenues helping the margin?
Randall J. Weisenburger: No. It would go the other way. The US businesses at the agency level generally are a bit higher margin than the international businesses. The US business cost actions are generally faster to take on average. There are some international markets where your cost actions are relatively fast and in line with the cost in the US. Mainly the international markets are much more difficult. I think it’s probably safe to say FX for forecasting purposes or evaluation purposes largely has a similar effect down through the P&L. Interest, that line item gets bounced around a little bit because most of our interest income, the way we run our treasury operations is foreign interest and obviously the FX has a very significant impact on that, so there isn’t really a mix when it comes to interest income.
Thomas Singlehurst – Citi: Thank you very much.
Randall J. Weisenburger: Thank you all very much for taking the time to listen to our call.
Operator: That does conclude our conference for today. Thank you for your participation.